Operator: Ladies and gentlemen, thank you for standing by, and welcome to the RH Fourth Quarter and Fiscal Year 2019 Earnings Conference Call. At this time, all participants are in a listen-only mode. After the speakers’ presentation, there will be a question-and-answer session. [Operator Instructions] Please be advised that today’s conference is being recorded. [Operator Instructions] I would now like to hand the conference over to your speaker today, Allison Malkin, Investor Relations. Thank you. Please go ahead.
Allison Malkin: Thank you. Good afternoon, everyone. Thank you for joining us for our fourth quarter and fiscal year 2019 Q&A conference call. Joining me today are Gary Friedman, Chairman and Chief Executive Officer; and Jack Preston, Chief Financial Officer. Before we start, I would like to remind you of our legal disclaimer that we will make certain statements today that are forward-looking within the meaning of the federal securities laws, including statements about the outlook for our business and other matters referenced in our press release issued today. These forward-looking statements involve a number of risks and uncertainties that could cause actual results to differ materially. Please refer to our SEC filings, as well as our press release issued today, for a more detailed description of the risk factors that may affect our results. Please also note that these forward-looking statements reflect our opinion only as of the date of this call, and we undertake no obligation to revise or publicly release the results of any revision to these forward-looking statements in light of new information or future events. Also, during this call, we may discuss non-GAAP financial measures, which adjust our GAAP results to eliminate the impact of certain items. You will find additional information regarding these non-GAAP financial measures and a reconciliation of these non-GAAP to GAAP measures in today’s financial results press release. A live broadcast of this call is also available on the Investor Relations section of our website at ir.rh.com. With that, I’ll turn the call over to the operator to begin our Q&A session. Operator, we’re ready for questions.
Operator: [Operator Instructions] The first question is from Michael Lasser of UBS. Please go ahead. Your line is open.
Michael Lasser: Good evening. Thanks a lot for taking my questions. So it’s a two-parter. If you look at the low to mid-40% run rate decline that you experienced in closing your stores, do you think that there’s a realistic run rate beyond this? You guys have a realistic run rate to kind of model the business as long as those stores are closed? And given the dynamic, how should we think about the profitability of the business if this run rate continues? . Thank you.
Gary Friedman: Sure, Michael. First, let’s just say, I think, we’re way too early to comment on any realistic run rates. I think, we’ve had – what have we been closed for 11 days now?
Jack Preston: It’s right. Yes.
Gary Friedman: Yes, 11 days. So, I wouldn’t necessarily commit to anything. We’re in such a time of change and uncertainty. It’s – this is a time where things are changing, not weekly, not daily, but changing hourly. If you just step back and think for a second, the President of United States on Friday, I believe, said that the country will reopen on the 12. The President of United States on Sunday said the country is now going to be closed through the end of April. There’s so many things changing right now. The important thing is to pay attention at what’s changing. The important thing, I think right now is to quiet the noise. It’s not a time to rush. It’s not about the amount of decisions you make. It’s about the quality of the decisions you make. And we believe, it’s a time to do less and think more, so we can do more. And again, this kind of, I try to motor up and see the whole Board, if you will, from a chess point of view and try to take the most recent data and information that’s available and try to establish patterns and try to look ahead. But look, two weeks ago – a little over two weeks ago, nobody knew every store in the country was going to be closed. So, this is the unimaginable time to be leading a business to be leading a company. And we’re not going to kind of rush to try to figure everything out. I don’t think you can. I think, you’ve got to kind of look at kind of the big picture and make the right big decisions right now. And everything that we put in our press release, everything that we wrote in the letter is what we can see and what we know today. Beyond that, it would just be unwise to comment beyond any – anything that we’ve already said.
Michael Lasser: Okay. And in your letter, you did mention you’re planning to pay down $300 million in this summer. Can you give us a sense for what the burn rate or the cash burn rate of the business look like? So we can get a – just have a better understanding of the liquidity of the business, especially as these stores are closed and it is facing some pressure? Thank you very much.
Gary Friedman: Yes. Again, I – we’re not going to comment beyond what we commented in the letter. We feel confident in – just based on what we know today and what we see. And we – we’re taking the appropriate actions and deferring capital and reducing costs. And we – we’re in a position where we’re confident to say that we can pay down the $300 million of convertible notes in cash, just as we plan to before. So nothing different there.
Michael Lasser: Okay. Thank you very much and good luck.
Gary Friedman: Thank you.
Operator: Your next question comes from Steven Forbes of Guggenheim Securities. Please go ahead. Your line is open.
Steven Forbes: Good afternoon. I want to focus…
Gary Friedman: Hey, Steve.
Steven Forbes: …hey, is that your thinking about times now, right? So I sort of wanted to focus on the efforts of the design team broadly right now that these stores are closed. So, Gary, if you could – I don’t know if you could expand on how they’re interacting with your customer base today? What successes you’ve seen on the back of those efforts? And whether you think those efforts have helped to alleviate some of the stress on the business more recently?
Gary Friedman: Sure, sure. First, I’d say that the amount of innovation that’s being generated by our people across every, every part of our company has been extraordinary over these past couple of weeks. And we’re doing daily conference calls, including the weekends. I don’t know, Jack, would we have a eight or nine-hour conference call with leaders across the country yesterday and Saturday. And the – this is such an important time to kind of listen, learn and then lead, because we like to say in this company that the smartest people are those that are closest to the customer and those of us who’ve gotten farther away from the customer and generally get dumber and dumber and that makes me the dumbest guy in the company. So the only way to lead people through anytime is to first listen, then learn and then lead. And I’m just so impressed by the amount of innovation that’s happening across our country. We’re reimagining RH live in the moment. And particularly from a gallery point of view, not having a physical location and trying to imagine, how do you work with people, and how do you continue, not only continue, how do – just reimagine, how you interact with customers, how you do interior design and and so on and so forth. How do we market to our customers? What should we be marketing now? What are the – what is the most valuable? Because everybody is bombarded with communication, just start right there that the amount of news people are consuming today, the amount of information just trying to stay up and stay up-to-date and just stay safe is basically overwhelming. And so, communicating in a typical way is, we believe fruitless. And so we’ve tried to imagine – reimagine how we’re communicating, how we’re working with consumers. If you go to our website, you can get a sense for what we’re doing. The whole front of the website starts with a letter for me addressing the current situation letting everybody know our galleries are closed and let everyone know that, what we say, our doors may be closed, but our hearts and minds are open. Our design team is here to help in any way we can. We set up virtual appointments using FaceTime, Hangout, Skype, Zoom. Recall, it’s like we’re live innovating, improvising, adapting and overcoming and the demand that our teams are generating during this time is, I think, extraordinary. And we’re learning hourly and daily. So, this is – if you look back and think about the really big important moves this company and this brand has made in its history, they were the most important moves we made. The biggest transformational steps we’ve taken have been in the times most uncertainty. And I believe, as I articulated in the letter, this will be no different. So, I think, Winston Churchill said, never let a good crisis go to waste. And for our culture, this is probably when we’re at our best. So, I think you’re going to just see an evolving, changing effort and an upward spiral and how we just run our business that are – that is not just – is – that that’s not going to just define the short-term in this period. But is that there are going to be different ways to kind of lead our business and run our business forever. I think, no different than this virus is going to forever change this country in the world, this time is going to forever change our company and our way of doing business and in many ways elevate our culture. So, yes, so I think it’s one of our great strength is, we really do have the largest interior design firm in North America today – residential interior design firm and having that as a true strategic differentiator and strength. And we also have a large B2B business in our contract and trade side of our business that are both have similar attributes of being – can operate in a B2B into the direct way with the customer. And we’re leveraging all our assets and all our knowledge right now and learning daily. So – and – it’s what I tell the teams that, look, right now just headline is, it’s going to get worse before it gets better. But make no mistake, it will get better. So, how much worse it gets? We’re all doing our – coming up with our own assumptions and modeling all the different possibilities and downsides. I think the greatest risk for our industry is, if governments decide to kind of describe – yes, if they change the essential business descriptions on warehousing, transportation, and service aspects that deal with the supply chain and logistics, I think, as long as we can run the direct side of our business, we’re very confident. I think, for everybody in our industry, if that gets redefined, if – how governments describe business functions that today they define is essential, if that changes and everybody’s warehouses change and transportation and delivery changes. If everything stops, you’ve got an entirely new ballgame. And, of course, if you’re smart, you have to model all of that and understand what does that look like. But that also has implications on the entire system of the United States, right, like every port would have to shutdown. The movement of containers would have to shutdown. Every distribution center in the world would back up. Every port would become an operable and the shipping industry worldwide would shutdown, right? So that’s – that to me is the greatest risk any of us in this industry face, because I think almost everybody today has some sort of online business and some way to interface with customers. So we on the other hand have had a a direct business that at one point was 50% of our business and it’s come down some as we opened these bigger galleries as we expected. But we’re very capable of direct-to-customer business, not only through our website, but through our contract and trade business and hospitality business and so on and so forth. So – and when I say hospitality, I mean, hospitality contract business, not our hospitality food and beverage business. So at this current moment, and again, things can change all the time. We’re – I’ve never been in a leadership position and like, I’ve been doing what I’ve been doing quite a long time, I’m not a young guy anymore. But I’ve never seen a time where things are changing this rapidly from day-to-day, moment-to-moment. And so I think the important thing for everybody is pray for peace, plan for war, try to see the whole Board be patient, don’t move until you see it. There’s – I think there’s more risk in this environment by rushing to make decisions and making the wrong decisions for the short-term that can be devastating from a strategic point of view. So this will get worse, but it will get better. And the key is how do you navigate through this period and we have data, right? We’ve seen the curves in China. We’re not so sure how good the data in China is. And look, it’s is very different in China. You see videos of people getting off buses and planes and being sprayed down like cattle, right? Like, so that that’s probably not going to happen in our country. So the curves may be somewhat different. But even in countries like Italy and Spain and where they’ve had really bad breakups, you can see the curves start to flatten. You can see things starting to change. And you can – you – this is temporal. If – the question is, is it a month? Is it two-months? Is it three months? Is it possibly longer than three months? Does it go through mid-summer? But at some point here changes. The question is, how do you optimize your business through this time and how do you position yourself? How do you navigate to survive during this time and how do you position yourself to thrive on the other side of this? And that’s what we’re thinking about.
Steven Forbes: And then – and, Gary, just a quick follow-up on that, right, sort of thinking about getting ahead. I guess, do you envision any potential future supply chain disruption, right, given the global reach of the virus? Or what are you sort of doing to get ahead of whether it’s more back orders or just disruption in the global supply chain?
Gary Friedman: Sure, sure. So the biggest piece of the disruption has already happened on our end of the business, and that really dealt with China and Asia, the broader business that we source out of Asia. And that is pretty much back to normal.
Jack Preston: It’s actually 100% back to normal.
Gary Friedman: Yes, 100% back. And so, the challenge we’ve got and then if you look at it more globally, we’ve got a pretty big business coming out of Italy. We’re the biggest importer of Italian bedding in the world. We’ve got some furniture and upholstery coming out of Italy. We’ve got – and so we’ll have some disruption there, that’s not a big percentage of our business. The bedding side of the business, where we’ve got relatively good back stock situations. And so we don’t think that will be massively material as long as the curve flattens in Italy and things come back in the next several months. But most of our – and then really what’s going to happen in the U.S., we still have a relatively good portion of our business, especially if it deals with upholstery and special order business happening in the U.S., some coming out of Mexico. But I think the biggest challenge is behind us. The Asia challenge that the virus has been relatively well controlled at Vietnam. We’re – all of our Asia factories are back to 100%. So the key becomes, how do you think about our manufacturing platform? Is it true strategic advantage for our company, right? I’ve always said that furniture, this quality has never been made in these quantities before. So we’ve built in partnership with all of our key partners built a manufacturing platform. And the key is how do you not let the virus create any permanent damage? And I think it – again, it’s working in partnership. It’s no different than in the real estate world, right? Like there’s some people sending letters out there that are saying, “Announcing they’re paying no rent.” Well, how’d you like to be a landlord on the other side of that letter? When the letter hits the public press, and you just make a declaration you’re paying no rent. That’s not really a partnership, right. Just going out and canceling orders is – does not how you build partnerships. This is not how you solve problems. And the great companies are built on great partnerships and their – and that the business is built in a very integrated way. And so, from a supply chain point of view, the key for us is to recognize we have a problem. There’s business dislocation. The demand is down. It may stay down throughout the year. And most likely at this point, we believe it will. Will it stay down to 40%? No. Will stores reopen in the next month, two months, three months? Yes. Is it one-month or is it three months? That’s unknown. Do they come up in staggered order? Most likely. So what those scenarios look like? And then is it down after it’s down 40 to 45 for a while? Is it down 25 for a few months? Then is it down 20, then is it down 15? And you get back to down 10 by the end of the year. I think some of that depends on how promotional people decide to get in so on and so forth. But the key becomes back to the supply chain. And our partnerships is, there’s a product that is being manufactured today. There is a product that’s been manufactured over the last several weeks. This being finished today. There’s product is on the water today. How do we handle that product in partnership? How do we share the pain in partnership? How do we not try to create another enemy? Where you have an invisible enemy? The virus. We don’t need to create more enemies today. We need to build better partnerships and greater relationships, because that’s where the opportunity is going to exist on the other side of this when things do return to normal. And so it doesn’t matter if it’s the supply chain. It doesn’t matter if it’s the real estate partnerships we have, if it’s the manufacturing partnerships we have, the design partnerships we have, the partnerships we have inside and outside the company today. It’s a time for people to come together and work together to solve problems and imagine new ways of doing business, not only through the short time, this is – the opportunity becomes reimagining new and better ways of running our businesses together forever. And so, it’s kind of disheartening, honestly, when I see some of the behavior that’s happening. Some of the people are making proclamations about not paying rent or canceling all orders or great good for you. Those are not – that’s not a strategic way to navigate a business in a time like this. The only partnerships will overcome the problem.
Steven Forbes: Thank you, Gary.
Operator: Your next question comes from Curtis Nagle of Bank of America. Please go ahead. Your line is open. Curtis Nagle, your line is open.
Gary Friedman: Hi, Curtis, you…
Curtis Nagle: Hey, Gary. Yes, sorry about that in a small apartment on mute. So…
Gary Friedman: No worries. We’ve all busy there.
Curtis Nagle: ...trying to keep the noise out. But anyway, thanks for taking the question. First, just a quick one for Jack. What the current revolver availability is? I think it’s around 600, but that may not be the case. And then, for you, Gary. I may be getting a little ahead of myself here. But kind of thinking about when the dust clears and things normalize and the macro environment hopefully gets better. Thinking about, I guess, kind of competitively, you guys are in a pretty decent capital position. How would you say it, I guess, your most direct competitors are positioned in terms of liquidity and capital structure and that kind of thing? And when things do get better, do you think there could be an opportunity for, maybe more market share gains, or is it just maybe that’s not the appropriate thing to think about right now?
Gary Friedman: Sure. Well, let me take that question. I’ll – then I’ll give it back to Jack – give it over to Jack to answer the question about the credit facility and availability. Look, I’m – I’ve been through significant downturns. We went through the Great Depression. And I think our operating margin going into The Great Depression was 7% or something like that, 5% to 7%. And I know how difficult that was to survive. We’re – we just reported operating margins of 14.3%. We had talked about on the last call in the last press release of having at least 200 basis points of operating margin expansion opportunity in 2020, right, prior to this virus. So if you just do the simple math, if we guided – if – we just reported 14.3% and we said, we had at least 200 basis points of margin expansion. You get to 16.3% if you get the least. If you say, “Hey, there was more than that.” You could take a more optimistic view and say, “Hey, this company before this happened probably had a operating margin in the kind of higher teens, if you will, somewhere above 16.3%? Because we obviously wouldn’t have given you kind of 200 basis points, at least, unless we had more than that. So I look at it this way. I say, I’m going into a difficult time like this. This team has navigated really difficult times with operating margins of 7%. What does it look like with operating margins of 17%? It looks like a heck of a lot better. And it – what it does is, it clearly opens up the aperture of potential opportunities. The key is, again, how do you navigate the short-term? So you can set up the right strategic view and the strategic moves that can happen. How do you put yourself in a position to see the opportunities that are going to kind of unveil themselves in times like this. And so, the market share gains for us long-term are going to be massive. If you think about the fact that we’re, for the most part, the most of our key manufacturing partnerships were, I don’t know, on average 50% to 80% of their business and call their other 50% to – 20% to 50% is probably mostly individual stores mom-and-pops, smaller regional players that don’t have our operating model, don’t have our distribution platform, don’t have our capital structure, don’t have all the resources of a company like this. And so the opportunities for us to become bigger and more important to be just more integrated with all of our key partners everywhere. The same thing is, there’s no different than a real estate point of view, like what the opportunities are? We – I think, probably three to five years ago when we started building these big galleries, everybody thought those will never make money. If you read 80% of the analyst reports that are being written three to five years ago, how are they going to possibly be – build money in a Freedmen’s building mansions for his ego? All kinds of crazy stuff written. Now I think people realize that we weren’t trying to build mansions. It wasn’t about magic. It was nothing about gut instincts. It was all about math and it was all about logic. And so, we have probably arguably one of the most exciting kind of retail experiences and one of the most productive and profitable physical and – physical environments in our industry today. And so there were this dislocation. There’s going to – for a period of time, there’s going to be a lot less players. There’s going to be a lot of people that are handicapped or on crutches and financially and there’s going to be, I think, even more opportunity for our age to become more important with the most important partners. There’s going to be more opportunities to present themselves through the dislocation. We don’t know exactly what – what’s the longer-term impact to the economy. Are we going to be in a recession that that’s downtown 10 or 20? Is it going to be greater than that? But there’s going to be all kinds of opportunities. And the key is just kind of, don’t do anything right now. Like we said, like, look, just don’t do anything in our company to make things worse. Let’s not rush and accidentally like kind of screw anything up or hut anything right now. It’s a time for deep thinking. It’s a time for real objectivity. It’s a time for listening and learning and seeing the bigger moves, right? Seeing what others can’t see, so we can do what others can do. And that’s why, honestly, right now, we haven’t taken markdowns at all. We’re not promotional at all. In 2008 and 2009, with 7% operating margins, like we had to pull levers immediately. We’re not pulling any levers today. We think we are uniquely positioned. We think we have a brand that is, in many ways, doesn’t have a real peer in the industry. We don’t mean that in an arrogant way. We think if you just stand back and take a look at what we do and how we do it the offer we have and how we present it, there’s not anybody really like us. We think we’ve got incredible physical environments that when people, by the way, like, I don’t know, what is the potential slingshot effect here? When people who are cooped up, I don’t know how you guys feel, like I mean, today, I’m in our office with Jack and Dave, rest of our teams on a – calling in – and the Jack and Dave and I are all about 15-feet apart. We haven’t sprayed each other with Lysol yet. But we’ve been so cooped up. And people are going to want to get out. People are going to be dying to get out. Spring is coming. The weather is going to be nicer. Hopefully, the virus subsides and speed. People are going to want to get out. What kind of physical environment do you think it’s going to do better when people want to get out? I think one that’s got magnificent architecture that’s got rooftop parks, that’s got integrated hospitality, that’s got – that’s inspiring from a – from an interior presentation and design point of view. I just think – I think, what – what’s just happened? Everybody is forced to spend so much time at home. Like if you spend as much time at home as I’ve been spending the last couple of weeks, you can start looking around and going like, “Oh my god, there’s so many things that I wish were different about my house. Oh my god, I can’t believe like, I need to update my sofas or I need to update these pillows or god my window treatments.” So it’s probably time for a refresh. And by the way, I think, the home because of what is transpired here because of this virus is going to become even more important. And the way people live at home and having an inspiring place to live at home. So whether it’s something like this it happens or just the fact that yes, like I also think about things like how many vacations are being canceled right now? How many people are really going to travel to Europe or Hawaii or wherever they were going to go, South America? Africa? Yes, how many people are going to be traveling this summer? I think a fraction of the number of people that traveled last summer. I know just personally, I mean, our plans are all changing. But how many people are going to be inspired to kind of reimagine their home and create a permanent kind of escape and a reimagine home that feels more like an environment that you would go to when you’re on vacation? How many people are going to – and by the way, that’s what I think our galleries feel like, our galleries feel like a vacation from real life. And so that, so many opportunities and things that I think that set up an opportunity for us to think about RH reimagined. What are all the different things we can do? What are all the advantages we have today? How would we swing the pendulum so far to the other side to not see incremental change, but to see true leapfrog moves? Because we’re in a position to do that. We’re in a position to invest. We’re in a position to partner in ways that nobody else can. We – we’re passionate about doing great work. And I think, in a times like these get people to kind of focus more and think about what’s really important. And I think you can’t escape that your home is really important that the relationships you have with your family are really important. Your friendships are really important. And where you’re going to spend your time over the course of the next year to two, while this virus is still probably somewhat alive in this world, probably spend a hell of a lot more time in your primary residence, second home, somebody else’s home. And I think that all creates a potential tailwind for us. But short-term, we’ve got to get through the here and now. And we’ve got to make sure we, as everybody else do, everybody else does, we have to live to fight another day and we have to make a lot of tough short-term decisions and make those decisions in the context of a strategic view of the future and not screw anything up here by moving in haste and being driven by fear. So we say the facts, remove the fear. What do we know? What are the facts? What’s the data? How do we think about it? How do we recognize the right patterns? And how do we set up a – set up the the next 20 moves? If you like playing chess, if you ever seen that the movie searching for Bobby Fischer, if you haven’t, we’re all locked down right now at home. I encourage everybody to watch that movie about a young young boy who plays chess named Josh, and he was trained by a street player in a Russian master. And it gets to the the point and we use it as kind of a leadership training movie in our company. In the final game, you can actually just Google and pull up the YouTube of the final game searching for Bobby Fischer. It’s all about, don’t move until you see it, right? Don’t see the whole Board, don’t move until you see it and see the big moves. And if we see those and we make those moves correctly, I think, we’re going to redefine ourselves in a way, that’s it’s exponentially greater than we did in 2008, 2009, that’s exponentially greater than when we redefined ourselves in 2016 and 2017 when we decided to pull the car in the pits after our kind of rocky start with RH modern, and we decided to move from a promotional model to a membership model that allowed us to rearchitect the entire operating platform of the business and elevate the brand. And I think the global opportunities we’re going to have in an environment like this are incredible. And so, I know it’s a lot. It’s like – but we’re – we don’t have a really great script here right now. So I’m just like things are kind of evolving, we’re giving you RH lifetime evolving thought. So I’ll turn it over to jack.
Jack Preston: Hey, Curtis. So as far as the revolver availability, so the $600 million is the full line size. But as a reminder, it is an asset-based loan. So it depends how much inventory and other collateral we have. And in the 10-K that will be filed momentarily, you will see that we ended the year with $322 million available. And then as we sit today, it’s $308 million available.
Curtis Nagle: Got it. All right. Thanks very much, guys. I appreciate it.
Operator: Your next question comes from Chuck Grom of Gordon Haskett. Please go ahead. Your line is open.
Chuck Grom: Thanks. Good afternoon, everybody. We’ve done a really good job streamlining your cost structure, which I’m sure you’re really happy about now. I’m just wondering if you guys could dive a little bit deeper into the components of of your cost structure, both cost of goods sold, SG&A, I guess, a little bit, maybe a little bit of color on how much of those costs are fixed versus variable? What you think you can flex down? Would you pay your – continue to pay your employees if the stores are going to be closed for beyond the April 30 deadline? Just any color on that front would be helpful?
Gary Friedman: There’s not too much detail outside of what – what’s communicated in our financial filings. I – if you think about us being shutdown – while our stores are shutdown, we have a relatively high percentage of our people that are engaged in working because of our interior design business and because of the direct nature of a lot of our transaction. So we’re connected. We’re reaching out where we’re operating. Will we have to – if things remain closed and stay as is a current environment and we have to kind of redesign our cost structure? Of course, we do. Is it as significant as other industries and other businesses? I don’t believe so. I just saw the news about Macy’s today and businesses that really rely on traffic much more than we do. Remember, we have a lot of galleries that are – they’re very unusual places. Start with Chicago, it’s six blocks from any other retail store. It’s in a residential neighborhood. It’s in the Gold Coast. We had to get the city to rezone the entire neighborhood for one day and approve us and zone it back. So there wouldn’t be another retailer in it, because we said we don’t build retail stores. We build inspiring spaces. And so our business is much more destination. I think that plays in our favor. It’s not that walk in traffic is not important. Of course, it is, like people have – want to interact with the goods. They want to feel the environment and be inspired by the space. And then there’s people that are just visiting that are coming in for buying a tea and coming into our restaurant. And all of a sudden, they’re in this inspiring space that makes them reimagine their home and connects with them. So, look, I – there’s – I’ve had people ask me. So is this an opportunity to kind of become a real direct business and start digital advertising and be like Amazon? I said, no, not at all. You want to really change the cost structure of the business, start wasting a lot of money on digital advertising. That’s a – there’s nothing – there’s no advantage to having that as the base of your cost structure. And so we – short-term, there’s going to be dislocations, but we also are going to have a lot of people working in through a lot of parts of our company. So you – we’re not going to be like Macy’s or some of these other places, where the vast majority of people are furloughed. We’re going to have to make intelligent decisions, by the way, while we’ve waited. It’s another one of those decisions of don’t move until you see it, extending the length of time that we are paying our people and extending full benefits. It is one, it’s good for them. It allows them to get to understand, if possibly there are some furloughs here, what does that mean? It’s – to them, we’re very open and transparent to our people right now. The – it’s good for us. We’re getting organized and smarter. We’re getting the information about all this stimulus support for businesses and for people during this times. And we just want to think this through and get more data. It’s – so, we think we’re going to weather the storm very well. It’s clearly going to be very different – vastly different in the short-term, less different in the medium-term, and more normal in the long-term. But we’ll come out of this reimagined RH. And I believe a vastly different and significantly better brand in business, no different than any other time we’ve faced like this.
Chuck Grom: Okay, thanks. And then I guess, my thought would be there has been some bad points out there signaling weakness on the coast, but relative stability in the inner part of the country. Just curious on what you’re seeing across the U.S.? And then as a follow-up to that, year one New York City now in the books, I guess, could you speak to any big picture learnings that you have good or bad? What you think you could apply to future openings? Thanks.
Gary Friedman: Yes. I don’t think that there’s vastly different business dynamics on the coast than there is in the Midwest today. That’s not what we’re seeing. We’re seeing relatively similar impact across the country, because the biggest impact to the business is the closure of our physical location. So that has been a relatively democratic decision and a consistent impact across the country. So, look, is – do we expect things to get worse in New York for to get better? Of course. And then if we go back and look at New York in a bigger picture, what are the learnings after year one? One of the learnings are, we probably have the opportunity to do more business in markets than less business. And as we think about designing physical experiences, New York was the first store we embedded in a visible interior design team – interior design business into the physical gallery. You’re going to see that happening in all of our new galleries. The hospitality experience on the rooftop, which started, I think, our first ones Palm Beach, right? Started with Palm Beach, it was the only place we stopped construction for nine months. It’s the only place we could figure out where to put a restaurant. We were scared to do it, because it was on fourth floor. And we thought, what if nobody goes up there? New York, again, reinforced that a hospitality experience on the rooftop is economically viable. It’s more economical to build it that way. And that’s why you’re going to see – because of Palm Beach in New York and few of the others we recently opened, you’re going to see restaurants on rooftops. We think it’s a great experience for consumers to get some beautiful views and beautiful environments to eat amongst that in a glass box looking at in a beautiful rooftop garden and other aspects that – other things we’ve learned from New York. But it gives us a lot of confidence thinking about what we should do internationally and some of the other very important cities when you think about the potential in New York and the volume we’re doing with just one store in New York. Should we have a second store in New York? Should we have some kind of a unique environment on the Upper East Side and some kind of reimagined brownstone or home? What should we do in London and Shanghai and other big cities and metropolitans like that? So yes, and that the new galleries we have coming or all reflect our most recent data and learnings and have evolved even our, what we call this, in fact, that we’re going to start – stop calling it a prototype, right? Because a prototype means everything stagnant and doesn’t evolve and that’s just not our culture. So as we say, innovation is at the core of what we do. And we’re always trying to reimagine everything we do and make things better all the time. And say, we’re always unfinished and on the move. So I’m not going to talk about that our prototype will talk about it is – as our – the most recent iteration of our design galleries. They’re an integration of all of our best thinking and learnings from all of our experiences good and bad that we’ve built so far. So we think they’re going to continue to get better and more productive. And then we – as we think about different bespoke experiences, they integrate our best learnings just in new and better ways and sometimes set up an opportunity to learn something we hadn’t learned before. I think when everybody sees what we’re going to do in New Jersey, it’s just incredible. It’s so – it’s mind-blowing. We decided to not take an anchor position. At the Short Hills Mall, we decided to purchase a 5.5-acre piece of property. In Morristown, New Jersey – in the Township, New Jersey, we’ve taken a historic home that was on the property. We’re adding kind of two buildings to the property, the most beautiful exterior gardens that you’ve ever seen, an entrance that’s some – somewhat like first sigh like and things that you’ve just never seen that we’ve never done that. I think it’s going to be the most inspiring destination in the State of New Jersey, if not on the East Coast and people will come from everywhere. And why do we have the confidence to do things like that? Because we keep learning from our successes and we keep learning from our shortfalls, and we continue to connect the dots and reimagine what’s possible here. I mean, now what we’re going to do in New Jersey, which I think is just – again is one of the most exciting things anybody has ever seen in our industry, it’s a combination of what we learned in Chicago of – going off the beaten path and going into a very high demographic area that doesn’t necessarily have high traffic, but has high prestige and integrating businesses in new and unique ways. There’s learnings from our RH aren’t built there as far as gardens and connecting spaces and integrating hospitality in a unique way. There’s learnings from Palm Beach there, where we’ve got incredible gardens and experiences as you pull up and we’re – how you park your car and how you enter our compound? Because we said when we did Palm Beach that the key – we’re actually in West Palm Beach. And the joke was that a lot of people from Palm Beach Island don’t go to West Palm Beach. And we said, “Well, all these people kind of fly in and they come in from the airport, whether they’re on their private jet or just flying in and then they go to their compound and they kind of stay in their compound. And if they come out of their compound, they might go to friends’ compound or go to a restaurant in Palm Beach. So we said, we have to build the most inspiring compound in that whole area and that whole region. So that, that customer feels comfortable leaving their compound and coming to our compound. And so it’s complete welding compound. You pull up your car in front of a 14-foot wall of falling water. we Valley Park you. You’re in this amazing experience. And so when you see what we’re doing in New Jersey, it’s 5.5 acres. It’s a – it’s like a beautiful estate and these unbelievable gardens. So, what you’re going to see coming from us, like our best work is ahead of us, not behind us. A lot of people thought, like when our operating margins got to 11%. Everybody said, “Oh, that’s it. That’s it.” The former leading company peaked out at operating margins of 10.5% and they’ve slid backwards. And these guys hit 11%, they probably stretched ourselves too far. And here we are at 14.3%. And I just told you, if we didn’t have a coronavirus stare here, we’d be much higher than 16.3%. And this company is going to continue to innovate, it’s going to continue to reimagine the future and invent and we’re going to continue to get smarter and stronger. So this is just a temporal – it’s a really – it’s an unimaginable time. It’s like it’s scary for everyone. It’s heartbreaking to know that there’s so many people being affected by this virus and people dying from this virus. We’ve never had anything like this in the United States. We live in a country that is – it’s never been invaded in our lifetime, right, like this is an invasion. It’s like a war. We’ve never experienced this. We’ve never experienced lockdowns. We’ve never went through things like this, but it will pass and it will get worse before it gets better, but it will get better. So – and we’re going to continue to let our vision and let our values guide us and leverage the hearts and minds of all our people and ignite the human spirit inside everything we can control inside our company. And I think what you’re going to see in the future from us is going to be extraordinary.
Chuck Grom: Thanks for the color, Gary. Good luck.
Gary Friedman: Yep.
Operator: Your next question is from John Baugh of Stifel. Please go ahead. Your line is open.
John Baugh: Hey, Gary. Really, quickly, the RH being down 40% since closing. Is that a shipment number or an order number? Can you give clarity on that, please?
Gary Friedman: Yes, that’s demand. Yes, that’s demand. Demand leads ship. So I’m giving you the 11 days since we’ve been closed, Jack, 12 days?
Jack Preston: Today is day 13, so…
Gary Friedman: …day 13, okay.
Jack Preston: So orders essentially, orders placed [Multiple Speakers].
John Baugh: Yes. Thank you. And then quickly, my follow-up. The commentary around exploring debt is sort of an opportunity offensive maneuver, and is that really the case or might be something that just shore up the cash position, given we just don’t know what the future is?
Gary Friedman: What was the question Jack?
Jack Preston: Well, I think the letter speaks to it. It’s about the liquidity. Is it offensive or defensive? I mean…
Gary Friedman: Oh, it says offensive. yes.
John Baugh: Yes. So you view it as an opportunity to maybe make a real estate deal or do something it’s not an effort to shore up a liquidity position?
Gary Friedman: No. Our liquidity is fine. It – if you’ve seen us in the past, we’re relatively opportunistic.
John Baugh: Great. Thank you for the answers. I appreciate it.
Operator: Your next question is from Oliver Chen of Cowen and Company. Please go ahead. Your line is open.
Unidentified Analyst: Hey, guys, it’s Matt on for Oliver. Thanks for taking our questions. So first, can you maybe update us on the size of your direct business at this point? And what have those trends been over the past few weeks? And then can you remind us where your DCs are located in the U.S.? And then we have follow-up.
Gary Friedman: Yes. We really don’t report our channel separately. We run the business in an integrated way. We’re not too concerned where the customer transacts. Clearly, there’s only one one place for them to transact today. So that’s where it all goes. But if you just – if you sit back and just did the simple math and said, what were we last quarter? 60%, 40% somewhere around there?
Jack Preston: That’s right.
Gary Friedman: Yes. It’s our business with 60%, 40%. Our – and that…
Jack Preston: 60% retail, 40%.
Gary Friedman: Yes, yes, yes, and used to be 50-50. So it’s all happening through the direct channel today kind of, but really being facilitated by our retail teams – a big part of it by our retail team. So it’s kind of irrelevant exactly what’s happening. Like – and so we look at the data that we think is really important that we can impact and affect. So where it lands? Where the customer places the order? We place the order for the customer somewhat irrelevant to us right now and has been for quite a while.
Jack Preston: And then as far as the where our DC is located, we have our furniture DCs: one in Paterson, California; and another one on the East Coast in Baltimore, Maryland; and then we have a small parcel facility in Ohio.
Gary Friedman: Yes. And I’d say just, look, if you stand back and just, again, take out a high level view of this and say, there’s so many people over the last 10, 15 years that have spoken about their retail business versus their direct business. And their direct business is more profitable than the retail business or the retail business is more profitable than direct business. And people get lost in all that noise and they get lost in how they’re allocating costs and they build silos inside their company. And a lot of people had thought, like, why are you guys so ambivalent about this? Why? Don’t you care more other people seem to care so much more about you? It’s just because we see it differently and we care about the integrated outcome. And I think that’s why we have operating margins that are basically two times our next closest competitor today and growing. So, if I tell you, it’s not important to us, there’s probably a reason no. And it’s because there’s a more important way to look at your business.
Unidentified Analyst: Got it. And then just zooming out a little bit. Can you just update us, how was our RH ski house and RH beach trending before the slowdown? And at this point, do you expect RH color to likely be pushed back into 2021? Thank you.
Gary Friedman: Yes. So we just said, we’re going to defer all new business launches. It’s not a time to – you never, in the direct business, mail a book into the wind. It’s just not a good thing. It’s been my history. It’s the worst time to invest, because you have no flexibility. You mail a book into the wind right now. It’s all reverse leverage, because the data would tell you, you can’t make that significant of a difference and change the consumer behavior when there has been a kind of a – some kind of action of epic proportions that’s changed consumer behavior. It’s just too expensive to change that behavior right now. So, yes, we’re pushing that back. We’re also reevaluating all of our ad costs, evaluating what, if any books we should be mailing right now. How should we be allocating capital right now? How should we be allocating advertising right now? I – and by the way, I would tell you this that the data would say that our source books are significantly better allocation of capital than digital advertising. What I’d be worried about is, if I was just a massively disproportional online business today, and I had to rely on digital advertising. And I didn’t have direct catalogs like that’s a disaster. Here we are primarily a retail-based business with a very strong direct business that operates in an integrated way. And our just – our main channel just stop. But I can tell you this that even with the channel stopped, right, where we closed, we still are interfacing from a retail way. And that’s what I feel very good about. We haven’t done anything from a price point of view. We haven’t added one promotion. We haven’t done one promotional e-mail since this all started. The – what we’ve done differently is try to do things that are high-quality value-add and brand elevating. So I think the e-mails that we’ve sent out the way we’ve quickly kind of redesigned the website and the way we’re operating is in a very high-quality way that is – it’s a way to elevate the brand. One of our teammates on one of our conference calls said, we were talking about how we’re going to navigate through this crisis. And we were talking about possibly would we promote, would we not promote, what do we do. And you can’t commit to anything right now, because we don’t know how bad this is going to get. And you can’t let inventory backup too much. I mean, the good thing is, we don’t sell perishable inventory. We don’t have any seasonal inventory, none, none, right? We don’t have any Easter goods. We don’t really have any summer goods. We don’t have any color palette goods. We the least amount of seasonal risk of anybody in our industry, right? Go look through people’s catalogs right now. Go walk retail stores. If you want to think about how to define risk right now, go peek in the windows retail stores, go look at other people’s catalog, go on their website and look at how much Easter stuff they have, look at how many Easter plates they have, look at how many bunny candlesticks they’re selling, look at all the other tchotchke crap, right, and ask yourself how well is that going to do? Once the stores reopened and we’re past Easter, that’s a disaster, right? If you want to think about short-term risk, or you want to think – that stuff’s a disaster. So, you look at a business like ours or go look at anybody selling any kind of perishable goods, disaster right now. Selling any kind of fashion goods in apparel, the spring season is a disaster. How people even get rid of the goods when the stores are closed, the inventory is in the stores? Are they going to pack up all the stores Are they going to box up those goods and send them somewhere else? What you can’t send them anywhere else, there’s nowhere to sell them. I mean, Ross just closed stores and said, they’re not taking goods. It’s like, there’s Ross and TJ Maxx and everybody, like just do the math going through the logic trains, like where do all those goods go? How much are you going to have to sell those for? I mean that you want to talk about fire sale. We have no fire sale risk. We have possibly inventory backing up, right, and fear – the inventory is backing up that we will either hold in country and wherever there’s warehouse space is less expensive, we will slowdown manufacturing. We will hold it in our DCs and we will lower order rates and then our – and then we’ll adjust inventories. And if we can navigate through this without having to do anything to permanently impact our new model, right, which is the best model in our industry by far, that’s what we’re going to do. We have to take take a hit in the top line. I’d say, I don’t go chase an extra $100 million in revenue by promoting the business and make a longer-term decision that I’m not going to get into the game and I’m going to protect the integrity the brand. That’s key. I mean, one of our team members are going to tell you that, we’re talking about this topic. It’s like geez, Gary, I hope we hold our ground and don’t get back on the crest – get back on crutches, because he says it’s really hard to scale the luxury mountain on crutches, because we’re trying to scale the luxury mountain, right? We’re trying to position this brand as one of the most admired brands in the world like Armarz, like a Chanel, like a Louis Vuitton, like the great brands. There is no really great brand for the home worldwide at a luxury level. And everything we have to do – everything we should be doing is focusing on climbing that luxury mountain and not compromising and elevating the brand, not just expanding the brand, it’s easy to expand. And then last time through expansion, you have erosion, it’s very hard to elevate. The people that are top of the luxury mountain, they were born there. They look at someone like and no one has ever made the climb up the luxury mountain. No one has ever started where we were and climbed that mountain. And by the way, they don’t want you to make that claim. You’re not from the neighborhood. We didn’t grow up. We’re not necessarily worthy. We don’t get invited to their parties. What we have to do is things that are so extraordinary, we have to have such extraordinary parties, they want to be at our party. We have to build such extraordinary stories. They look and dream that one day that their stores could be inspiring as ours. We have to do work. That is – that creates a forced reconsideration of our brand. And it’s just so important for us today based on where we’re going, based on becoming one of those handful of truly admired businesses that stand the test of time that are generational businesses. It’s not about the short-term. Short-term, we’ll navigate through this. Long-term, to strategic moves. So even like, how ski house is doing, how is beach house doing before, they were – they’re doing fine, but there’s little tests. This is like not a big deal. It’s like the last thing on my radar like beach houses and ski house are doing. Those are just new little business categories that they tested well. They were ski house. We mailed it basically in Q4, so you have to invest all the advertising costs and the launch costs. One time, you can’t amortize costs anymore, it’s all the cost went into Q4 with very little revenue ski house in Q4. Most of it is going to roll over into Q1 and stuff like that. But yes, those are small little pieces. The key is what are the big moves right now? How do you navigate through this short-term time? How do you not make strategic mistakes? How do you continue to focus on elevating the brand? How do you not all of a sudden jump back on the crutches and try to climb the luxury mountain and crutches. How do you outrank everybody and position ourselves that when we come out of this terrible time, not just economically, but socially terrible time. One of the worst times that this nation in this world has had to go through outside of probably the last World War. And how do you come out of this in a way that you’re really ready for the brighter days? So yes, and color, of course, it’s going to be pushed back. It’s like, yes, of course, I don’t know it’s a pushback to 21. It’s pushback to 24, irrelevant to the bigger picture. It’s the big strategic moves right now. It’s the big things that can lead to leapfrog that creates strategic separation, that render our brand more valuable. That’s all that’s important right now.
Operator: Your next question is from Seth Basham of Wedbush Securities. Please go ahead. Your line is open.
Seth Basham: Thanks, and good evening. I know the big picture is really what we’re focused on. But we’re also thinking about some of the near-term options that you have and you talked about potentially cutting catbacks? Could you give us a sense of how your CapEx budget is formulated for this year? What types of things that you could consider cutting for starters?
Gary Friedman: Look, it’s – in the last downturn, we cut CapEx to $2 million. We didn’t cut CapEx to whatever we want to cut it to. Right now, we’re stopping everything, okay? Does that mean everything will be stopped when things start to be back to normal? Oh, but have we stopped everything right now? We’ve stopped everything outside of – we’re finishing Charlotte, right, because we’re – what Dave about a month away from finishing Charlotte? So, we’re a month away from finishing Charlotte. Our partner in the development has guaranteed that they’re going to continue to find the tenant allowance and so we’re going to keep going. But we’re managing the business with a bias for cash right now, managing this for cash as we should be. We’re deferring all capital right now, basically, all capital. I’m trying to think of anything besides Charlotte, we’re spending money on. We stopped everything in the company. We – will we keep everything stopped for the whole year? I doubt it. I doubt, it’s like, the stores are going to be closed for the rest of the year. We – I think our – we have capital plan with somewhere around $150 million net, Jack, somewhere around that?
Jack Preston: Regional.
Gary Friedman: Yes, regional plan. We’ve spent some in the first quarter, but we can save the vast majority. If we wanted to, we could probably save 89% – 80% to 90% of that?
Jack Preston: Yep.
Gary Friedman: Yes, to pay 90% of that somewhere around there directionally. So that gives us a lot of flexibility. The ad cost we are planning to spend in the first-half, we’re going to really spend a fraction of the ad costs. So we – once we have the all clear and physical stores reopen again, and we’re back running and we see what those trends are like, it – that’s – that changes everything, right? That changes everything as we think about capital allocation be in a position to to realize opportunities. So it’s balancing playing short-term defense, while you’re developing offensive plans, right? So – but yes, so we get lots of control. Like right now, everything stopped except for one store.
Seth Basham: Got it. All right. I’ll leave it there. Thank you very much. Stay safe.
Operator: Your next question is from Peter Benedict of Baird. Please go ahead. Your line is open.
Peter Benedict: Yes. Thanks, guys, I’ll be quick, but most of my questions have been answered here. But so just following-up on that. So if you can obviously take your marketing data, you can take the CapEx way down. Just curious, how do we think about SG&A? If you take out marketing, that remaining bucket, how much of that is truly variable? And then we can kind of think about how we might be able to manage that other bucket. But just what percentage, I guess of SG&A after marketing is truly variable?
Gary Friedman: Yes. We don’t disclose that. But we’ve – yes, we – a lot of things are variable in times like these. So go ahead.
Peter Benedict: These are more variable in the short-term versus the long-term. But in this times like this, it’s unprecedented and we clearly are prioritizing cash?
Gary Friedman: Yes. And everything is – yes, everything is negotiable right now, right? Everybody’s got to think about partnerships and priorities and how to get through this time, so.
Peter Benedict: Yes, okay. Listen, that’s fair enough. Thanks so much and good luck.
Peter Benedict: Great. Thank you.
Jack Preston: Thanks, Peter.
Operator: The next question is from Adrienne Yih of Barclays. Please go ahead. Your line is open.
Adrienne Yih: Good afternoon. Gary, I wanted to step back a little bit and talk about your R&D network, kind of pre the transformation. So before you’d invested sort of, kind of fixed salary, R&D, innovation and design talent, and now that’s a global network. I want to say it’s a little bit more variable. But it’s sort of globally going around and creating a group of talent that you can pick from and sort of kind of ebb and flow, depending on how you need that skill set and when you need that skill set. Can you talk about that and help us understand exactly what the changes are there? Thank you very much.
Gary Friedman: Sure, sure. Well, we think about us is – it’s like the Apple App Store, right? Apple has the best developers in the world developing applications, or in this case, even music, right, developing music the main platform for music, the main platform for apps today is the Apple platform, right? They’re the best platforms, right? And so when you think about our industry and you think about goods that are targeted to the high-end luxury market, we’re the best platform in the world. And so, even more so now, I think, there’s going to be – it’s going to tilt our way. There’s going to be even more people that want to develop for our platform, because we’re going to be even more viable. We’re going to be even more disruptive. We’re going to take even more market share. But when you think about the cost structure and how that works, it’s all amortized into the goods, right? And so if people are designing and developing ideas for us that we don’t like and we don’t pick, there’s no cost. So it’s a true advantage. We don’t really have a big design team here. We’ve got only one or two technical designers inside the company that work with our partners on some specifications and quality and engineering. But for the most part, 95% of the development cost sits outside our company is amortized in the product. It’s either built into the cost of goods from the perspective of at a artist and manufacturing level, design level or it’s someone we’re paying a certain royalty, design fee on the goods, and so it’s all built into the cost of goods. So the flexibility there when you think about it versus other people doing what we do is massively more effective and truly more powerful, right, because I used to say that – I’d say, in my career, I was most influenced in my time at the gap, where I saw, Mickey Drexler transformed the gap from a $300 million business to a $15 billion, the leading global apparel company in the world, right? And that was Mickey Drexler and Les Wexner really were the pioneers and the inventors of vertically integrated retailing as we know it today. And that model was super powerful and there was a lot to like about that model, what I learned not to like about the model and what gave us the idea was when we saw Apple and there was someone asked me to go to the CES is that what they call it? Yes. CES.
Jack Preston: Yes.
Gary Friedman: Yes, CES show at a friend that within technology, you should come with me, you’ll learn a lot about technology. And I live here in the Bay Area, right? So I’ve got a lot of friends that are in technology, I used to be in YPO. And a lot of the key leaders in, in that space during the last last 10, 20 years. I got to know relatively well. And if you come to Las Vegas, come see this, and I was an Apple fan from – for a long time. And I’d say, well, it’s – oh, great, it’s apple going to be there. I’m going to get see all the new Apple stuff or listen to Steve Jobs, and he said, no, no, it couldn’t be said everybody comes and said, Oh great, the Apple doesn’t comment, certainly a company that doesn’t comment. Oh, really? Well, what did they do? They said, well, they do their own conference. And I started attended looking at Apple through a different lens and noticed that when they launched the App Store, how all the best developers were developing for Apple. And then whoever gets the dregs was like Blackberry and all the restaurant, right, like, the Android platform and stuff like that. So, the light bulb went off for us here. And we said, look, Apple is built the best platform, right? They built the best platform. And they – their platform creates the most leverage for all the best developers and designers, right? And maybe we’re doing this wrong. And maybe we had to turn this model that served me very well, right, that I learned from the very best in the industry and turn this upside down. And because realistically, we’d have these big design teams and they would design all this product. And honestly, I never liked more than about 3% of what anybody showed me. And so I was like this like, wow, like we spent so much money and energy and we’re developing all this product and samples coming from all over the world and I hardly like any of it. And so with the light bulb went off, we said, like that was really happened in also right around 2008 and 2009. And we said, “Look, why don’t we turn this upside down? Why don’t we not have a design team? Why don’t we just have some really great curators people with great taste and style that had a really great eye?” And we’ll never get all the best designers in the world working here in Corte Madera, like the best people generally in every industry are our entrepreneurs. There – a lot of them are working for themselves and they have their independence and control is paramount to them. And so, we said like, “why don’t we build the best platform in the world and have people designed for the best platform and instead of being a design-driven company will be a curation being driven company?” And not only curating product, but curating product, people ideas and inspiration. And then really, the true talent differentiating factor in our company will be that building that platform and attracting the very best people, but the hidden talent, which people miss about us is our ability to integrate, right? It’s integrating all of those people, those products, all those ideas and inspiration in a way that when it all comes together, it has its own unique point and RH point of view that really differentiates and divides us. But when you think about it from a financial model point of view, it’s massively more more powerful and more efficient. And serves you well in all times, whether it’s times like this or other times. Like, we don’t have a big massive design team that we’ve got to cut or that’s sitting there not really productive. And by the way, here’s an interesting thing. Of all the products that were presented, for the most part, we still don’t like more than 5% of what we seek, but we don’t have to incur all that waste inside our company. That makes sense.
Adrienne Yih: That’s very helpful. Thank you very much, Gary, and best of luck.
Gary Friedman: Sure. Thank you.
Operator: Your next question is from Brad Thomas of KeyBanc Capital Markets. Please go ahead. Your line is open.
Bradley Thomas: Hey, thanks, everybody, for running long and for all the color as usual. Just a couple of housekeeping questions here from me. I guess, when we think about a new world where revenues are likely down here, can you give us a sense of maybe where you could bring inventory level down to? Can you bring that down much lower from here, particularly with the made to order nature of a lot of the product? And then how should we think about working capital in general, in a world where sales are declining? Thank you.
Gary Friedman: Yes. It’s is a really good question. It’s something that we’re kind of talking about and kind of studying. So we believe we pushed the inventories down to about as tight as we could be. And we saw – in the fourth quarter, we saw back orders kick up and not only higher back orders, we had missed demand in the company. And so we thought, okay, we obviously we – I think we pulled out on a apples-to-apples basis, about $500 million out of our inventory. If you looked at our kind of four-year – five-year plan, that’s about three, four years ago. We invest $500 million less inventory than we plan to have prior to us redesigning the operating platform and the supply chain. So – and we’re trying to find, okay, where’s equilibrium? Where’s the most optimal ways that we can run inventory? So we think, we pushed it a bit too far in Q4. We gave up some demand in sales. It probably cost us, I’d say, somewhere in the neighborhood of $20 million or so. And that’s fine. There’s cost to learning and cost optimizing. And so now it’s – when you think about this period, you’ve got some – you’ve got to kind of deal with the immediate problem that’s happening. And the immediate problem is, we have a lot less demand and we’ve already bought into that demand. And you can’t cripple your partners by just saying, “Oh, I’m just cutting all those orders and you deal with it.” I mean, that’s no way to have great partners for the long-term and going forward. So, yes, we’re right now in live discussions with everybody around the world. Like, we don’t say like, “Hey, I have a problem at our age. And you have a price, we have a problem.” They know how we can deal with it. And I’m sure what will come out of this is an entirely new way to think about the supply chain, entirely new way to think about how to flow goods, entirely new way to think about this. If this is what happens during times like these, right, when you have pressure, that’s when you can turn coal to diamonds? And don’t know exactly the answers yet. We’re in live discussions right now dealing with the short-term issues, dealing cash flow issues, not so much on our end today, not yet, if and we don’t know how long this is going to be. But there’s clearly in our partner side, there’s going to be issues. They have a lot of independent customers around the world, a lot of smaller players that are – that have no choice than to cancel all their orders. So how do we work in partnership? How do we become more important partners and more valuable partners to these key people – many of them the best – the very best in the world at what they do. And so it’s an opportunity for us to become more important than less important and we’ll get off inventories. I think things play out directionally how we might imagine. I would say, we’ll be heavy on inventories throughout the year and we’ll probably be able to get inventories recorrected by this time next year. Yes, but you’re going to have to work through – just work through this kind of issue that that’s been created. You can’t make this issue go away. Anybody says that they’re going to be able to cut all the orders and it’s not going to be an issue, it’s fully shit. It’s impossible right now.
Bradley Thomas: That’s helpful. Thank you, Gary. Good luck.
Gary Friedman: Yes.
Operator: Your next question is from Tami Zakaria of JPMorgan. Please go ahead. Your line is open.
Tami Zakaria: Hi, thanks for squeezing me, and I know it’s getting late in the East Coast. So I’ll ask a very quick question. So you’ve mentioned prior to the dislocation in the business in March demand and core RH business was up 8% in February. So how much of that was driven by backorder fulfillment versus core growth? And did that include a 4% drag from lower outlet sales like you’re planning?
Gary Friedman: No, they didn’t include the core – that’s just the core RH business, right? So that’s not inclusive of the outlet business. So that’s why we characterize the outlet business separately. And so how much of that was from backorders? Zero. That was demand, right? So that was order generation that was demand. And the reason we put that and just give you a point of reference of how our core business had kind of recovered post the elimination of holiday, right? So the fourth quarter businesses were – business was influenced a lot of taking the holiday business out, taking other promotions out that we had characterized in previous press releases and discussions with everyone. What we had is, we had greater than anticipated collateral damage that related to the elimination of holiday. So if you think about it, where we kind of missed our forecast here was, there was more kind of attached to business through the traffic and active in the peak weeks of holiday and the peak weeks of January. When all of that kind of Christmas stuff is – goes on sale, all the ornaments, all the decor, all the gifting stuff, all goes on sale, you have incrementally more traffic going to the web and incrementally more traffic going to the stores. And what we were able to analyze post elimination holiday was that, there was more attached pride means, someone coming to the website or coming into a gallery and they were buying sale Christmas ornaments or sale other tchotchkes and stuff like that, that they might have seen some sale dining chairs and might have seen some sale bedding, they might have seen some sale and other things. So the elimination of that traffic and the the connected possible other transactions, which referred to as a collateral damage, was greater than we thought. So that cost is a portion of the business. And then the other biggest piece of the miss was just, we just ran the inventories too tight. We took out a lot of inventories, I think, going into the fourth quarter with an inventory down 24…
Jack Preston: 24 at the end of Q3, we ended up the year down 18.
Gary Friedman: Yes. So down 24, going into Q4 and we ended up down 18. We did – and that was on top of down last year and so on and so forth, and I say, a prior third-year down. And so we just ran it too tight and nothing strategic and easy things to correct. We don’t have to transition out of holiday, again. So the important point about the F8 [ph] is, hey, post holiday in February, the core business rebounded to plus eight. The outlet is a completely different story. And let me make sure everybody has got this in the right context. You’ll remember last year, we had higher than normal outlet sales, because we closed the distribution center in Q4 of 2018 and we decided to accelerate the liquidation of that inventory through our outlets. That’s what we did. So we ran very high outlet sales in Q1, Q2, Q3, Q4 and not as high in Q4 year-over-year, but in the first three quarters, it’s very high. And that obviously was a lift to total business and it was a drag to margins, right? And so, the way to think about it this year is, we burned down outlet inventories the lowest levels in the history of the company. We started the year without a lot of outlet inventory. Obviously, we’ll be creating some outlet inventory right now, because returns and exchanges right now have that usually go straight to the outlets and get liquidated or backing up, because the outlets are closed. So we’ll have a position where you got a little bit more inventory. But really, this year it’s about now, yes, if now you’ve cycled those high sales, you’re not going to have the sales, but you’re not going to have the inventory drag. So, operating margins for the entire company would have been up around 100 basis points or more because of that shift in the mix of the business, right? So the outlet business, I – in my mind, I always kind of put it off to the side, because it’s really a channel we’re liquidating returns and damages and trying to deal with sometimes bad beds from an inventory point of view. And that’s – and so it’s an integrated piece of our business. It’s going to – yes, it’s going to affect top line to a degree plus or minus and the margins. But year-over-year, last year with anomaly, this year is another anomaly of just lean [ph] one way or the other. So last year, sales were up, operating margins were down. If we didn’t have – if we had a normal outlet situation last year, our operating margins in the company would have been in the mid-17.3% to 17.5%, and not – excuse me, not 17.3% to 17.5%, 15.3% to 15.5%, yes actually were were 14.3%. So it cost us about 100 to 120 basis points of operating margin last year. So this year would have been more normalized operating margins. That’s why we could comfortably say, we had at least 200 basis points of operating margin expansion, because on a pro forma basis, we really had a company that last year that looked like 16.5% to 17%, not 14.3%. And so – and that’s why when I look at the situation we’re in now and I say, people ask, how do you feel about going into this? And I go, “Well, geez, I mean, comparatively to the last really difficult situation from a business point of view and economic point of view, the Great Recession is leading a company that had operating margins in this 7% range. And now really, we – we’ve got a business that ‘s in the 17% range. So I feel terrible about the health impact and the destruction this virus is going to cause socially and from a humanitarian point of view. But from a business point of view, we’ve never been in a better position to take advantage of a dislocation economically.
Tami Zakaria: Got it. That’s all I had. Thanks and best of luck and hope you all stay safe.
Gary Friedman: Great. I hope you do, too. Thank you.
Tami Zakaria: Thank you.
Operator: Next question comes from Anthony Chukumba of Loop Capital Markets. Please go ahead. Your line is open.
Anthony Chukumba: Thanks for taking my question. Gary, in light of everything that’s going on, I know, one of the things you’re very excited about or very excited about is your own expansion into Europe, which I think will be a real homerun for you. Is it safe to assume that, that everything that’s going on right now is going to push that back, or is it too early to tell at this point?
Gary Friedman: Too early to tell. I think, we’ll all be a lot smarter in about two or three months. So as far as we’re concerned right now, we’re not really spending capital there yet. We’re finalizing leases and doing some architectural work and development work and so on and so forth. So there’s work that’s all going on. But we’ve got flexibility as it relates to that, if for some reason, there’s later cycle developments in the UK or other things that force us to push things back a lot of flexibility. I think that the little bit of data that everybody has mostly related to China, I would say that the world is going to be on the other side of this issue at the latest by the end of the summer. And so the question is does – when we reentered the coal mines business, it’s like a flu does it reappear? And is there another infection cycle to go through? We don’t know that, right? Nobody knows that. But I have a lot of faith and hope based on what I hear from people that are in the biotech field here, obviously, San Francisco in the Bay Area is the epicenter for a lot of that industry. And what I hear from people that I respect is that the ability to develop – but develop drugs and vaccines and things are going to happen very fast. And so, my sense is, this could get dragged on all year. We could have a long slog of a year that turns into a recession. And it could be that 2020 is – becomes and it’s interesting from one sentence to say, 2020 should – is perfect eyesight. It becomes probably the least clearly year that we’ve seen in a long time. And that things really in 2021, you have a real sense of clarity of where you’re going. But 2020 in some ways, it’s a year to manage the business for cash. It’s a year to position yourself for the long-term and a year to kind of see the opportunities that are going to exist on the other side of this and position yourself to be optimistic – opportunistic and optimistic when you – when we start to get through the worst part of this. But it doesn’t change anything strategically, right? It doesn’t change our opportunity in Europe, maybe changes a little bit of timing on things. It doesn’t change the opportunity globally. What it does is it sets up opportunities globally, right? From a real estate point of view, it’s going to be a lot of good real estate deals post this. There’s going to be a lot of opportunities that happen post this. There’s going to be a capital – access to capital is going to only get better. And so, we see more opportunities than less. Our biggest issues right now is how do we navigate through this in the most elegant and humane way as it relates to all of our people, all of our partners here and around the world. We’re a very connected company. It’s not just our team members that are here in our age, but and it’s not just the partners at the senior level of manufacturing companies all over the world and their partners. It’s all of their people that are going to get impacted by this world. We’re all connected here and as well as our – with our customers. And so from just a social humanitarian point of view, how do you do, it’s right? How do you solve those problems? How do you as best you can? How do you try to create a sense of hope and try to ignite the human spirit in the world in a time when that’s what people need. That’s why we say in our company. By chasing our hopes and dreams, we inspire others to chase theirs by fearlessly fighting for what we believe in. We encourage others to do the same. And it’s the time to play our game and to shine our light, if you will. So – but it’s a time to have edge and it’s a time to demonstrate empathy.
Anthony Chukumba: Thank you so, Gary. And…
Gary Friedman: Yes.
Anthony Chukumba: …demonstrating empathy, I commend you and the rest of your leadership team are foregoing your salaries during this very difficult time. Keep up the good work.
Gary Friedman: Okay. Thank you.
Operator: There are no further questions at this time. I will turn the call over to Gary Friedman, CEO, for closing remarks.
Gary Friedman: Great. Well, I thank you, everybody, for your time. I do want to make sure I just thank our teams and our people and partners, customers and shareholders all around the world, but specifically our team that is – just had an extraordinary year and fought hard to get to where we are, not just this past year, but over this past decade, and for some people that have been with me here through the past 20 years to get to where we are today. And this is the most difficult and challenging time I’ve ever led a team through. And it’s a time for all of us to kind of come together and to band together and to get all the brains in the game and the egos out of the room and do what’s right, not just from a business and financial point of view, but do what’s right from a human point of view. And we all have a lot of decisions to make. We all face the same challenges right now, and it’s a time for purpose and it’s a time for partnerships. And we’d like to say that profits follow purpose. And the key thing for us long-term is to live and breathe our values and let profits follow purpose. If we do the right thing, we will all get through this together on so many levels. So thank you for your time, thank you for your patience, and thank you for your understanding today, and we’ll talk to you soon. Thank you.
Operator: This concludes today’s conference call. Thank you for your participation. You may now disconnect.